Operator: Good day and thank you for standing by. Welcome to the Lightspeed Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instruction] I would now like to hand the conference over to your speaker today, Mr. Gus Papageorgiou. Please go ahead.
Gus Papageorgiou: Thank you, operator, and good morning, everyone. Welcome to Lightspeed's fiscal Q2, 2022 conference call. Joining me today are Dax Dasilva, Lightspeed's Founder and CEO; Brandon Nussey, Chief Financial Officer; and JP Chauvet, President of Lightspeed. After the prepared remarks, we will open it up for your questions. We will make Forward-Looking Statements on our call today that are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were applied in respect of conclusions, forecasts, and projections contained in these statements. We undertake no obligation to update these statements, except as required by law. You should carefully review these factors, assumptions, risks, and uncertainties in our earnings press release issued earlier today. Our first-quarter 2022 results presentation available on our website as well as in our filings with U.S. and Canadian securities regulators. Also, our commentary today will include adjusted financial measures, which are non-IFRS measures. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliations between the two can be found in our earnings press release, which is available on our website, on sedar.com, and on the SEC's EDGAR system. In addition, our commentary today will include key performance indicators that help us evaluate our business, measure our performance, identify trends affecting our business, formulate business plans and make strategic decisions. Such key performance indicators may be calculated in a manner different from similar key performance indicators used by other companies. And finally, note that because we report in U.S. dollars, all amounts discussed today are in U.S. dollars, unless otherwise indicated. Before I turn it over to Dax, I want to take this opportunity to remind everyone that Lightspeed will be hosting NuORDER’s Inaugural Capital Market Day at the New York Stock Exchange on Tuesday, November 23rd from 8:00 AM until noon. Please go to the events and presentation section of our IR site to register. We look forward to hosting as many of you as possible in New York City. With that, I will now turn it over to Dax.
Dax Dasilva: Thanks Gus, good morning, everyone, and thank you for joining us today. As you will see from the press release we issued earlier today, Lightspeed had another strong quarter with revenue and adjusted EBITDA performance exceeding previously established guidance. Quarterly revenues, GTV customer locations, and our payments penetration rates all reached all time highs. At the same time, we continue to make progress on integrating our acquisitions, expanding the availability of Lightspeed Payments and launching our flagship Hospitality offering Lightspeed Restaurants. But before I move on to discussing these items in more detail, I would like to take a moment to address a short report that was recently issued on Lightspeed. As we stated in our press release on this matter, we found the report contained important inaccuracies and mischaracterizations, and also that it was misleading and clearly intended to benefit the author. I would like to note that Lightspeed has made genuine and consistent efforts to establish a trusted and transparent relationship with the investor community and we are always open to engaging with serious investors acting in good faith. Given the inaccuracies in this report, I want to address directly some of the key criticisms raised. First, since becoming a public company, we have always been consistent in how we account for revenue. Second, we have been transparent with the definitions of our key performance metrics, including ARPU, GTV and customer locations throughout our history, as a public company. We firmly believe that our KPIs allow investors to measure our operating performance and identify trends in our core business that may not otherwise be appearance with relying solely on IFRS measures. Third, our organic growth rate, which we disclose remains the positive driver of our overall business. Organic subscription and transaction-based revenue growth came in at 58% this quarter. Any suggestion that our business lacks organic growth is categorically false. And finally, we are proud of the acquisitions we have undertaken. They have brought us talented management teams and industry-leading technology, which we are integrating into the core platform. And in the case of our Hospitality solution, has already shipped. In addition, acquisitions these have granted us scale, which helps tremendously in negotiating with our Payments partners, investing in sales and R&D and attracting strategic partners, such as Google and Open Table. And finally did given us access to a large and growing GTV, which creates opportunity for our Payments offering. With that said, I will move on to our latest quarter. Lightspeed had another strong quarter with total revenue of 133.2 million up 193% year-over-year with organic subscription and transaction based revenue up 58%. The company now maintains approximately 156,000 customer locations, including approximately 3000 brands brought on by NuORDER. GTV, more than doubled from the same quarter last year, coming in at 18.8 billion. Organic GTV growth was 39%. Payments penetration continues to increase during the quarter with our Payments penetration rate at 11%. We have several key customer wins in the quarter, within Hospitality, our newly released flagship platform Lightspeed Restaurant secured a contract for over 200 Restaurant locations in Germany, which includes both the POS and Payments. The original pancake house, which signed on for 10 locations was secured, thanks to the Lightspeed analytics functionality, as was Indigo Road with 18 locations in South Carolina. And we also added the Locarno Film Festival in Switzerland, the annual film festival that has been running since 1946. Within retail, we secured the Australian Football Club with all AFL Clubs now using Lightspeed. Coca Mats, the luxury mattress company will be running it is three stores in New York City using the Lightspeed Retail and Payments. And last but not least, Group CH 16 locations operates all of the Montreal Canadians official retail outlets along with large events, such as the Montreal Jazz Festival, Group CH will be using Lightspeed Retail, Analytics, Payments and E-commerce.
08:06: In addition to continued strong operations in the quarter, the company also advanced some key strategic initiatives. First and foremost, after the quarter Lightspeed launches integrated Hospitality platform, Lightspeed Restaurants. Initially available in Europe, Lightspeed Restaurant needed North American debut recently, and we will be rolling it out globally over the months ahead. Lightspeed Restaurant combines the best-of-breed from multiple acquisitions to deliver an industry leading solution. Second, in October, we closed the acquisition of Ecwid as planned, and I would like to welcome the Ecwid team aboard. Ecwid’s headless commerce solution will allow Lightspeed to offer a no compromise Omni-channel experience that will not only help us attract new customers, but also help our existing customers become more successful with their Omni-channel strategies. And finally, Lightspeed undertook a successful financing, raising gross proceeds of 823.5 million and issuing just under 8.9 million shares self fund the Company’s operations and growth. Brendan is going to take you through the numbers more thoroughly, but I wanted to touch on a few topics beforehand. Specifically the official launch of our core Hospitality platform Lightspeed Restaurants, the integration of Ecwid as our core e-commerce solution and the continued growth of our payments offering. First off, Lightspeed Restaurants, there is no better evidence integrating our acquisitions than shipping products. And after the quarter, we announced the availability of our flagship Hospitality platform Lightspeed Restaurant. This offering brings together the best features of Lightspeed, Upserve, Gastrofix, Kounta and iKentoo. So, delivering industry leading platform, which we believe is second to none, but in addition to industry leading analytics reporting, inventory management and ease of use. Lightspeed Restaurant was engineered with payments at its core. Adding payments greatly enhances the data insights of Lightspeed Restaurants, allowing restaurants to determine which menu items drive the highest guest retention, and helping them differentiate between you and repeat customers in order to better tailor the experience. We believe the added insight the Payments brings to the restaurant platform will meet adopting Payments with Lightspeed Restaurants and EV decision. As I have mentioned in the past, Lightspeed have no interest in maintaining portfolio of brands and solutions. All of our acquisitions will be merged into two core flagship offerings. Lightspeed Restaurants and Lightspeed Retail. With the restaurant offering launched, we expect our integrated retail offering to be made available early in the New Year. Staying was retail, last week, we announced that the Ecwid solution is fully integrated into our retail offerings. Our new and improved Lightspeed eCommerce was launched less than three months after the Ecwid deal closed, and is now available to Lightspeed customers around the world. Lightspeed eCommerce will give our customers a no compromise e-commerce experience, allowing them to extend their channels into popular social media platforms like Facebook and Instagram and integrate into possible digital marketplaces. We also announced a direct partnership with TikTok, allowing Lightspeed merchants to COC access core functions of TikTok for business ads manager without leaving our platform. E-commerce has evolved beyond being just a website, and Lightspeed’s easy to use headless commerce offering allows merchants to reach consumers wherever they are, maximizing their reach while reducing business complexity. Payments had another great quarter with transaction-based revenues now almost half of our overall revenues, and our payments penetration at 11% versus 5% for the same quarter last year. Earlier this week. We announced the availability of Payments in Australia, addressing the last major region that was not covered by Payments. We have committed to launching Payments and all of our major international markets before the end of calendar 2021. And we are well on our way to meeting that goal. As a reminder, our international footprint is biased toward Hospitality customers, with the availability of Payments now in all of our key geographies and the newly launched Hospitality Solution, the deeply embedded Payments functionality we expect these options of Payments increased considerably in our markets outside of North America. Before I handed off to Brandon, I wanted to thank our dedicated and extremely hardworking employees at Lightspeed. This past 12-months period has been the most transformative in the Company’s history with five acquisitions, several new product launches and a string of strong quarterly results. Not to mention weathering a global pandemic. Our success would not be possible without their efforts. And with that, I will hand it over to Brandon.
Brandon Nussey: Thanks, Dax. And I echo here earlier comments, overall it was another good quarter of progress. Our revenue for the quarter was 133 million up from 45 million a year-ago, and as compared to our guidance of 120 million to 124 million. This represents overall growth in revenue of 193% year-over-year. As we typically do, we also provide our organic growth rate to help the market understand our performance without the impact of recently acquired businesses. Our organic growth rate for software and transaction-based revenue was 58% in the quarter. As a reminder, when we calculate organic growth, we do so by excluding the impact of acquisitions that occurred since the end of the prior comparable period. You will find this definition and the others mentioned by me today in our filings on SEDAR and EDGAR. Accordingly, the revenue contributions from NuORDER then ShopKeep and Upserve are not included in our organic growth calculations in the quarter. We continue to be pleased overall with the progress across the main business model drivers. We continue to grow our customer base, expand our ARPU and increase our Payments penetration. And we will walk through these building blocks now. First is our customer locations, and we provide the number of customer locations using our solutions instead of the number of unique customers as this represents the primary driver of revenue for us, since our software is typically priced on a per location per month basis.  As outlined in our filings, we define a customer location as a filling merchant or in the case of NuORDER, a brand with a direct or indirect paid subscription, for which the terms of services have not ended or with which we are negotiating a renewal contract. A single unit customer can have multiple customer locations, including physical and eCommerce sites and as mentioned, we will typically pay for each of those separately. For clarity, we have consistently defined customer locations in this way since our 2019 listing on the TSX, save and except for the amendment for this quarter to better incorporate with customers of NuORDER. Our customer location is groomed to approximately 156,000 in the quarter from 150,000 at the end of last quarter. Please note that this now includes approximately 3000 customer locations from our recent acquisition of NuORDER. We saw the following trends within customer locations in the quarter, gross new customer locations added 57% year-over-year and up 19% on an organic basis year-over-year. Saw good ongoing demand for our retail offerings in North America and Hospitality in Europe as economies continued the reopening in those markets. We also saw an overall return for more normalized levels in many markets after a large increase last quarter, driven by dormant businesses coming back to life. However, owing to renewed lockdowns in the quarter in Asia Pacific in particular, where we now have better than 25,000 customer locations we saw increased churn in subscription pauses in those markets, which served to offset some of the games just mentioned. At the end of the quarter, 62% of customer locations were in retail and 38% in Hospitality. Further 53% were in North America and 47% outside of North America. Our diversification continues to serve us well. Lastly, please note that customer locations do not include any locations from our recently closed acquisition of Ecwid which closed the day after our quarter end. Moving on to ARPU, we saw our average revenue per customer location increased to approximately $270 per month overall, an increase a 59% from $170 a year-ago. Please note that we calculate ARPU as a subscription and transaction-based revenue divided by the number of customer locations for the period. This is a straightforward calculation available with all of our publicly-reported numbers. Please further note that, we have always excluded hardware revenue from ARPU, given hardware's non-recurring revenue stream and ARPU is intended to reflect the amount of recurring revenue for customer. With ARPU the contribution from subscription-based revenue was almost $130 per month and was up 19% over the prior year. The remaining ARPU of almost $140 came from transaction-based revenues, which were up 111%. Expanding ARPU is an important part of our long-term plans. We believe that our customer segments is a one-stop shop for the core things needed to run their operations, and our solutions put us in a privileged position to deliver this for them. And increasing ARPU per customer locations is one good indicator of our progress there. And at 59% year-over-year growth in the quarter, we are pleased with our progress. Thirdly, we will look at our GTV, which represents the total dollar value of transactions processed through a cloud-based SaaS platform in the period, net of refunds, inclusive of shipping and handling duty and value-added taxes. GTV does not include any of the order volume process by NuORDER between the brand and retailer customers. We have excluded that B2B volume until such time as we have a more well-defined Payments Solution for that order volume. Beside from this clarification, to exclude NuORDER, the definition of GTV has also not changed since our TSX listing in 2019. GTV was 18.8 billion in the quarter, up from 8.5 billion in the same quarter last year and 16.3 billion in the first quarter of this fiscal year. Several insights in GTV for the quarter, organic GTV increased by 39% year-over-year, overall retail GTV was up 115% year-over-year and on an organic basis increased 38%. Total Hospitality GTV, particularly in Europe, increased significantly in the quarter, as economies continued their reopening in those markets. Hospitality GTV was up a 131% and up 40% on an organic basis. For a period of over performance throughout COVID, certain segments like bike and home and garden began to moderate in September and more closely followed historical seasonal trends. While difficult to predict, we will assume the seasonality continues into the winter period, and our guidance reflects this assumption. However, as mentioned in our discussion earlier, lockdowns in Asia Pacific serve to offset some of these gains. Our GTV in the Hospitality segment in Asia Pacific fell by approximately 25% sequentially in the quarter, as a result of these lockdowns. Our Payment Solutions processed 11% of our GTV in the quarter up from 5% in the same quarter a year-ago. We called this our payments penetration rate, and it was defined as the total dollar value of transactions processed in the period through our Payments Solutions in respect of which we act as the principal for the customer divided by our GTV. We think payments penetration rate is a better measure of progress than the number of customers using our Payment Solution. As payments penetration rate that represents the potential that - ahead without distortion from differing individual customer transaction volumes. Payments penetration rate in the quarter was influenced by ongoing strong adoption in North American Retail and North American Hospitality where a payments penetration rate is now over 20%. The recent launch in Europe for Hospitality were more than $800 customer locations in that market contracted for our payment solution. The majority are not yet transactional and we expect that we will have growing Payments as we launch a new international markets. This early success is quite encouraging for us. We are pleased with the ongoing success of Payments processing 11% of our 18.8 billion in GTV in the quarter from 10% of 16.3 billion in GTV just three months ago, shows the ongoing growth for our Payments offering. As compared to the previous quarter, Lightspeed saw faster GTV growth in areas with lower Payments penetration, such as Hospitality in Europe versus areas with higher payments penetration rates, such as north American and in Retail. Ultimately, an increasing GTV is a great long-term indicator of opportunity for us, particularly now that we have our Payment Solutions available in more geographies and with more of our customer base. So, all of this results in the revenue very important today at 133 million. And as you will see in our disclosures, 124 million as recurring subscription-based and transaction based revenues, which grew by 203% overall and 58% organically. Subscription-based revenue and transaction based revenue were 59.4 million and 65.0 million respectively. Transitioning down the income statement, our gross margin for the quarter was 49% as compared to 61% a year-ago. The shift is driven by the success of our Payments Solutions, which generally carry a lower gross margin. This term is not an unanticipated, and in fact is encouraging. Stronger the success of our payments were allowed, the more gross profit dollars per customer location we earn. Higher gross profit per customer is what leads to leverage in the business model in the long-term. We are already seeing that in our model with only 11% Payments penetration rate as evidenced by sales and marketing as a percentage of revenue falling from 43% to 39% over the past year. So, our gross margin percentage may fall with the ongoing rollout and success of Payments, we are focused on the expanded gross profit dollars we are in our customer location. Only 11% of our GTV being processed by our Payments Solution we think there is tremendous potential ahead. Last note on margins, we have always felt that scale matters in this business. Scale in the resulting brand recognition supports our ability to attract new customers and prospects, and scale influences the spread we take home on a payments offerings should processing volumes increase. We expect to be able to realize improved gross margins over time on Payment Solutions. And many of our existing contracts are already structured to achieve this. Final then, adjusted EBITDA loss for the quarter was $8.7 million ahead of our guidance of approximately $12 million. This represents approximately 6% of our revenue. I will transition now to guidance. There are many reasons for optimism. As we look ahead, and we remain confident in the long-term growth drivers of the business. We expect we will continue to grow our market share, expand our ARPU, and penetrate our Payment Solutions across our GTV. However, we are also mindful of certain market dynamics that are outside of our control that keep us cautious on the impact to our near term results. Namely that the impacts of COVID-19 remain in many of our important markets and that there continues to be uncertainty in how the economies in those countries will behave. Ongoing supply chain challenges, affecting many parts of the global economy and the effects that may have on our customers' ability to have sufficient inventory to meet consumer demand, as well as on our own ability to secure hardware, to meet our own customer demand, which affects our own hardware revenue. As some economies normalize the return of historical seasonality to many of our end markets, such as bike, home regarding, et cetera, whereby Q4, we will see seasonally slower GTV and payments volumes during the slower months of January, February and March. Despite some of these factors, we remain confident in the core drivers of the business and expect our ongoing rollout of payments and our ability to continue to win market share we will continue. Factoring all of this in we expect Q3 revenue in the range of 140 million to 145 million representing growth year-over-year of approximately 143% to 152% with an adjusted EBITDA loss of approximately 10 million to 12 million. As we look at the full-year, we are updating our annual guidance to 520 million to 535 million in revenue. For the full-year, we are updating our adjusted EBITDA guidance to be approximately a $40 million to $45 million loss. This loss reflects the impact of our acquisitions of NuORDER and Ecwid, where we have accelerated some of the integration efforts. Some of which you saw from recent announcements, such as Ecwid’s product already being integrated with our Retail Solutions. It further reflects incremental investment in bringing our new Hospitality product to the market in the U.S. and we feel these incremental investments are prudent given our strong balance sheet from the significant opportunity that lies ahead. This adjusted EBITDA loss would represent approximately 8% of revenue at our midpoint of our revenue guidance and has improved from prior to levels of 10%. With that, we will take your questions.
Operator: Thank you. [Operator Instruction] Our first question comes from Dan Perlin from RBC. Your line is open.
Daniel Perlin: Thanks guys. Good morning. I just had a question on guidance. I know you have just kind of walked through seasonality and COVID uncertainty, but you also have payments penetration rates that are definitely increasing you have got Lightspeed Capital seems to be gaining a lot of momentum. So I'm just trying to understand a little bit better like what you guys are actually embedding as you think about the cadence both for third quarter and fourth quarter here?
Brandon Nussey: Hi Dan. This is Brandon here. I think the thing that are under our control, we feel really good about that we are going to continue to grow the customer base penetrate payments, as you mentioned, we are now available in new markets and off to a good start in Europe where we recently launched. There is just a lot going on in the macro environment right now that we are just being cautious in how we build that outlook supply chain challenges affecting Retails, it is really important period of time for retail. And as we look into Q4, we have got a growing part of our business now in transaction-based revenue, and those are seasonally slow months, January, February, March are low points for both Hospitality and retail. And given the transaction mix in our business now, we are factoring all that in. So, we are quite confident in the core drivers and our ability to execute. It is just some of these macro things. We will take our usual cautious view of.
Daniel Perlin: Yes. Just a quick follow-up if I could. As you think about the supply chain issues, I'm just wondering in the context of your ability to kind of expand locations, at least in the near-term, is it a cost issue on the inventory or is it a problem actually getting inventory at this point and were you able to build a little bit in anticipation of some of these supply chain constraints? Thank you.
Brandon Nussey: We are doing what we can. We have secured inventory wherever possible, in advance. So you see a slight increase on the balance sheet there, where we have done that. So, so far we have been managing it. It hasn't been easy. But we will keep doing our best there, but so far we have been managing and doing whatever we can.
Daniel Perlin: Okay. Thank you.
Operator: Our next question is from Josh Beck from KBCM. Your line is open.
Josh Beck: Thank you for taking the question. I wanted to just to ask about the organic growth with respect to locations obviously that shifted down as we went into the September quarter. Maybe just help us to walk through what were some of the major moving parts between say, the June quarter and September. And maybe not quantitatively, but just how we should be approaching organic growth for the remainder of the year? Thank you.
Jean Paul Chauvet: Yes, I will take this one. This is JP. Good morning. So, I mean, organically store count has grown by 19%. If you look at the gross take, we were very pleased with the quarter. It was one of our strongest quarters. But as you know, we do have some business in Asia Pacific and mainly in Australia and New Zealand, and those are being really affected by the lockdowns. And we have seen this actually, what had happened in Europe and in the U.S. there was kind of temporary churn that happens because the stores shut down during the pandemic, and then they reopened licenses and the markets reopened. So I think, again, just going back to what Brandon was saying under what we can control, we are very happy with the results. And organically, we are fairly happy with the progress there in terms of store count and also in terms of added MR.
Josh Beck: Very helpful. Maybe just a quick follow-up. Obviously really pleased to see the launch of the flagship platform within the Hospitality industry. Maybe just help us understand what are some of the early learning, is it really kind of full on go-to-market now with that? Just we would love to hear a little more color there. Thank you.
Jean Paul Chauvet: Yes. So maybe just going a slightly stepped back. When we did all these acquisitions, we always mentioned that there are components that we liked from each one of those acquisitions. We also had the strategy, which was to actually put the majority of our developers on one product and build the future, and that is what we did. So, we started by launching a few countries in Europe. Now, we have launched this completely across Europe. So, every country is now are on the new platform, and we are extremely happy with the progress, the platform embeds payments, as you know, it embeds analytics, it embeds ingredient management. So it is really a full blown kind of builds from scratch platform in Hospitality. And as you have seen in the announcements at the last few days, we have now launched it in Beta in the U.S., and we have customers transacting with it. And for us, this is a really big milestone and we are very excited about how this is going to stand out in the coming months. And yes, this is arguably one of the best platforms out there for Hospitality and we are now launching it into the U.S. So the focus for us is next quarter, yet everybody and go to market excited around this in the U.S. and go off to the market.
Josh Beck: Excellent. Thank you.
Operator: Our next question comes from Andrew Jeffrey from Truist Securities. Your line is open.
Andrew Jeffrey: Hi. Good morning, gentlemen, I appreciate you taking the call. I guess I would like to understand that now that you have NuORDER under your belt, and I don't want to steal any thunder from the Analyst Day necessarily, but can you offer some thoughts around how you intend to commercialize the supply chain? On one hand, your supply chain solutions and on one hand, it sounds like supply chain is being somewhat disruptive to some of your customers and important verticals. On another hand, it feels like Lightspeed has the ability to alleviate some of these challenges with your solution. So I kind of wonder about the interplay there and whether this is sort of an air pocket from a supply chain standpoint in terms of what you can control?
Dax Dasilva: Yes. Dax here. I think, what this current experience has shown us is that we do want to bring our merchants closer to their suppliers, give them greater inventory visibility, give just the ability to discover new suppliers and discovering new supply. And so, our focus on bringing NuORDER into our supplier network strategy. The first part is to get that experience right in our parties, it is going to be to roll out in features like inventory visibility as well as virtual showrooms to all of our 12 verticals in retail. A1fter that product is right, we can then start capitalizing on all the B2B opportunities on team. It will be a priority, but yes, given the importance of supply chain and supply to retail and leaders of Hospitality, it is important that this is a key part of the platform, and it is going to be a big driver for Lightspeed and driver for location growth in the future.
Andrew Jeffrey: Okay. Yes. I look forward to seeing color on that. I guess timing is going to be important for, for the numbers and for investor sentiment. And then, Brandon, I just wanted to pick up a little bit on the commentary about sort of mix of new GTV growth in markets where Geos or verticals where payments attached is a little bit lower. Is that how much of that is COVID. How much of that is timing. I just want to understand, again, what you can put the company can control in terms of maybe driving that mix was it is such an important component of your ARPU expansion?
Dax Dasilva: Yes, it is quite simple, Andrew. European Hospitality where we have a good base of customers across the continent, it continues to grow considerably volume there as those economies where you open. So we just launched our payments there last quarter, as I mentioned, 800 customers in the Hospitality segment in Europe, contractive for payments. Weren't able to capture, getting all of them alive necessarily in the period. So it is not hitting the numerator of that payments, penetration rate equation, but that is quite simply all that is happening is the Hospitality segment of our business continues to show really good growth in GTV. And we are just getting going on payments there. So it is been good for us for the long-term for sure.
Andrew Jeffrey: Okay. And if I could just sneak a quick one in, just on the potential for a terminal shortage. My understanding was the most of your business runs on iOS and Android rather than vertically integrated tech. Is that mostly with acquired businesses or what do you see in terms of any internal shortages?
Dax Dasilva: Terminals we have been working through our partners and that scenario where they have helped us secure inventory and meet demand there. The rest of our hardware solutions are things like iPads and generic third party devices, and obviously supply on those things is tight at the moment.
Andrew Jeffrey: Okay. Thanks.
Operator: Our next question comes from Timothy Chiodo from Credit Suisse. Your line is open.
Timothy Chiodo: Thank you. Good morning. And thanks for taking the questions. I wanted to touch also on the 19% organic location ads, but not so much on the near-term, but more about the longer term comments that you have made, generally talked about that organic location edge. It'd be sort of in the 15%, maybe 15% to 20%, depending on the quarter, but that is a fair way to think about it over the call at the medium term? I think it just would be helpful for investors, if you just flush out a little bit the location additional strategy in terms of marketing, whether it is the online content, the telesales, the new locations that could be driven to you via the supplier network, and just a path for maintaining that call it 15% to 20% organic cultivation growth ahead. Thanks a lot.
Dax Dasilva: Yes. So maybe I will take this one. So if you step back, the majority of the market is on legacy systems. Okay. And these are kind of on-premise terminals. So I think everybody in this market knows that the replacement cycle is up. And so I think for us it is fairly straightforward. We have a very good marketing engine where we have a blend of word of mouth organic paid for we triangulate basically consumers, and we get them to try the software. And then from there, we bring them into a complete sales cycle. So I think this year nothing has changed. The only thing we have seen that has changed in the year is that to kind of cost really is going back to normal, because the demand is going back to normal. So I think for there we just readjusted the dials, the good news with Lightspeed is because of payments and ARPU expansion, we can now keep a very good unit economic and still accelerate the growth. So I think that is the fundamental of this. Of course we do have content-driven strategies. I mean, I think we have a very strong 360 team in terms of marketing. Now long-term and going back to what facts were told to operator suppliers, that is where we get very excited. What we know is that the industries, where we have a full integration between the suppliers, the stores and the consumers, and sports goods and bikes we talked about this lot. We know that in those verticals, the suppliers are the ones that are selling Lightspeed, because the value for them is to get the sales through within the network, and also the values for them to be able to expand reach within the Lightspeed network. So that is where we get really excited with the integration of NuORDER. And Lightspeed's is we want to as we go very deep into verticals that matter for us, and within those verticals, as we go deeper and reintegrate basically we call it the golden triangle or the flywheel between the suppliers stores and consumers. What we do for you that, the cost of acquisition goes down and actually intake of customers go up. And that is obviously because everybody gains and there is a ton of value. So here, I think for us, what you can expect moving forward, if you can expect us to focus on the 10, 12 verticals where we are strong and you will start to see a strong integration between you ordering Lightspeed with regards to suppliers, that are generating a lot of demand for Lightspeed, and there, when we do this right, what we see is, LTV over CAC, going really in the right direction. And we see the cost of acquisition going down and intake for customers going up.
Timothy Chiodo: That is excellent. Thank you so much. And a quick follow-up. I apologize, I'm sure many of us are juggling a few different calls this morning. You may have given this context. But in terms of the whole supply chain issue or potential issue, I just want to clarify, is it something that is actually you are seeing at the moment. In other words, it is impacting potential location ads at the moment, or is it more just something that may or may not impact location additions over the next few months?
Dax Dasilva: Yes. So, it is not impacting at the moment. The only thing we have done at the moment is, we have we stocked ahead of time to be sure that we could get through this. So, I don't think it is going to be so much a problem for us in our sales ability. I think the issue that we are questioning is, with our merchants, so will our merchants have the merchandising for Christmas, where they have a strong retail month and that is the non-predictable part of this. So, it is not so much about our ability to sell and ignite our customers, it is really about our customers. We know that normally Christmas for them is like the strongest month of the year for our retailers. And so, I think we are very conservative in our views of, is this going to do the usual hockey stick or is this going to be more difficult for them, because they will not get the supplies they need.
Timothy Chiodo: Okay. That is great context in terms of your hardware. I appreciate that. Thank you.
Operator: Our next question comes from Josh Baer from Morgan Stanley. Your line is open.
Josh Baer: Great. Thanks for the question. I wanted to focus on the flagship Lightspeed Restaurant platform. What are the best parts of the platform and how do you think that it is competitively differentiated and maybe focusing on North America or the U.S. can you talk a little bit about the competitive environment and how you are positioned there? Thank you.
Dax Dasilva: Yes. A very good question. So, the focus of Lightspeed for the last 18-months. So, look, the first comment I want to make is, we are interested in complexity. So, we are not that interested in coffee shops and we really want to serve kind of the established restaurants that have - most of them have table service at multi locations. And I think what this version does really well is that, it handles the depths in a very simple way. And what do I mean by this is that it really has everything you can expect with ingredient management, routing rules that are very complex on printers. It also manages all the multi location, kind of this logic of having one menu that is across multiple locations. And the last piece that does incredibly well. It triangulates the consumer with the consumption and payments. So I would say, one of the key things as customers grow and restaurants become bigger, they really need a lot of data. And I think now, when we look at what we have taken from Upserve and what we sell with Lightspeed Payments, and we package this with our core ingredient management and workflow capabilities of the platform, I think this is what makes it unique. So, I think what you will see is that toughness will scale very easy with us and we will provide them data that they do not see with other platforms right now.
Josh Baer: Okay.
Operator: Our next question comes from Daniel Chan from TD Securities. Your line is open.
Daniel Chan: Hi, good morning. I know you mentioned that the supply chain constraints weren’t impacting you now, but can you quantify how much you have kind of factored into your guidance?
Dax Dasilva: No specific number there, Dan. I think JP articulated it really well. The primary concern is what we are being taught us on is, will our customers be able to secure the inventory that they need to meet consumer demand in this holiday season. With respect to our own hardware, yes, we have taken a cautious and conservative forecast in the mind as well. But the primary impact is how we are just being careful on what our customer GTV looks like in this holiday season and how that translates into our own payments revenue.
Daniel Chan: Okay. That makes sense. Maybe sticking with the supply chain challenges, has that driven any increased interest in the supplier network are you getting more inbound?
Dax Dasilva: Look, well we are getting a lot of, I think we were kind of expecting this is a lot of the brands that are on the sitar network are now kind of pushing us to connect to the POS, because they want to have a consumer insights. They want to see sells through. So again, within SMB, I mean it is kind of a broken supply chain today and the brands do not see anything about what's selling in real time at what discounts and what are the consumers buying. So I think what we are getting a ton of is a lot of suppliers now are willing to work with us in NuORDER so that they can get sell through with small businesses. And so, I think that is very exciting because it actually shows that it is the right move. I think for us now, the real question is how fast can we launch a product that has an incredible experience. And so that is what our teams are working hard on right now is we integrating very tightly you order with Lightspeed. So that someone within Lightspeed can order inside of the NuORDER marketplace and vice versa someone orders in the marketplace of NuORDER that when they show up inside of the Lightspeed POS that all of the description, the images, everything is loaded without them having to do anything. And so, all in to say we are very excited about it but we need to now work hard at getting the products together exactly as we did with K series, and the Hospitality launch. I don't think it is a magical overnight, there a lot of work to do to get this product out. The good news nobody has done this before. So we will be ahead of the markets if we can get this out fairly rapidly.
Daniel Chan: Great. Thank you.
Operator: Our next question comes from Raimo Lenschow with Barclays. Your line is open.
Unidentified Analyst: Hey, this is [Ravi] (Ph) on for Raimo. Thanks for taking my question today. So, you mentioned the subscription contribution to ARPU being 19% year over year. I was wondering if you could take us through how customer use of modules has progressed and maybe also touch on where that could go as we look ahead given some of the new product introductions you mentioned today? Thank you.
Dax Dasilva: Yep. So, I mean, maybe just going back in time, the strategy of Lightspeed is we started with the POS and then over time, we have built a number of modules that creates value for the customer. So, I think maybe a good way to look at it as kind of be Apple's strategy. You know, you start with the iPhone and then you buy more products and they are still well integrated within each other but there is more value in buying more from the same, and that is exactly our strategy. So what we have seen over time, and I think this is really what helped us during the pandemic is because we have the capabilities for in-store the capabilities for online, the advanced analytics engine, the loyalty platform, now we have payments. Basically, what we are seeing over time is our customers that are just buying more modules from us, and this has never changed, never stops. And I think here when we look back at the quarter as usual. More customers bought more modules and adoption of payments was strong and so that is why we are just excited about where we are heading is we don't see kind of ARPU per location slowing down and then just even with payments 11% is our payments penetration so there is a ton of runway there to sell to the rest. We just launched Payments in Europe. We just launched Payments in Asia. We are about to launch - we started launching Payments for advent and we are going to have it released by the end of the year. So it just gives a ton of opportunity for us to just continue up-selling. Well, maybe one last point here is Ecwid. We acquired Ecwid because we wanted our customers to have the best capabilities with commerce and we worked really hard, and now Ecwid is fully available to our customers within our retail products. So there again, what we can expect is for our customers to buy more from us and follow the trend. So I don't know how much more you want, but I think that is pretty much, our view is that ARPU is going to continue expanding, customers are going to continue buying more modules from Lightspeed.
Unidentified Analyst: Perfect that is very helpful and maybe carrying out that last point on Ecwid. I know Ecwid didn't have a big sales team, but they did have a lot of self-serve and big front of customer. So maybe you could talk to us about the potential synergies there as you layer on some of your [SNM] (Ph) efforts.
Dax Dasilva: Yes. So that is the key, what we do with companies that have good tech and not call it strong go-to-markets. So we are working hard now that the product is integrated. We are now kind of beating up all of our teams globally. And I think, again, what do we bring to the table. Lightspeed has local offices in every major country in Europe. We have local offices in Australia, so we can be hyper-local in our go-to-market once the product is integrated, which it is now. So the focus is going to be okay. Let's get now this product in the hands of the lower sales got globally, and let's continue selling it.
Unidentified Analyst: Perfect. Thank you so much.
Operator: Our next question comes from the Thanos Moschopoulos with BMO Capital Markets. Your line is open.
Thanos Moschopoulos: Hi, good morning. Just clarify points on a new Restaurant platform you alluded to the peak analytics functionality. And so is that something that would represents up-sell sale to existing customers migrating from current platforms or is that included in the base offering?
Dax Dasilva: No, this is going to be a, an option where we are going to have a tiered approach, but I think maybe just being clear with the analytics, the full power of analytics come, if you use like pre-payments. And so that is why we are very happy about this is that customers we want to have the advanced analytics need to buy Payments. So it is going to create - I mean our view is that it is going to create a much stronger ARPU per customer and per location, because we are triangulating basically multiple products together to create the value.
Thanos Moschopoulos: Great. And can you see the churn rate that you mentioned, that churn was elevated in APAC, but how does the churn under geographies. Last quarter you said it was a near record lows that remain the case sort of anything would help there?
Dax Dasilva: Pretty normal quarter, otherwise Thanos for churn, and just as JP mentioned what we saw happen in Australia and New Zealand is what we have seen happen as we have done through this, the various ways of this over the past 18-months or however long it is been. So, otherwise pretty normal quarter on churn.
Thanos Moschopoulos: Great. Thanks a lot.
Dax Dasilva: Thanks Thanos.
Operator: The next question comes from Richard Tse from National Bank Financial. Your line is open.
Richard Tse: Yes. Thank you. As you guys, get bigger today, just wondering maybe if you can maybe give us some perspective on the competitive landscape, with that sort of growth and scale, as it sort of increased your win rates and kind of changed in any way, how you market the brand going forward.
Dax Dasilva: Yes. So I think, few things. I mean, of course the brand now has a lot of visibility, people know Lightspeed. So, the organic portion is doing well. Now this being said, it is all set by the fact that paid since the end of the, since everybody is doing back to normal, it is going back to the previous year. So, we are happy. I mean, I think we are very confident that, our growth rates will remain the same. Now going back to your question on close rates, we have seen close rates maintain. We haven't seen any kind of degradation. So I think, I would say we were doing a good soup and we know the ingredients. And I think for me, nothing has changed on that front. The soup is still is good and we control the metrics well. And then the last piece, when I think about competition is, do we have one single competitor showing up somewhere a bit more often. And the answer is no. I think we have remained very consistent. I would argue that, what we are doing with K series, and then you launch in Hospitality and all the work we are doing now with the new launch of our retail platform, following the ShopKeep and Vend activations, I would argue we are in a stronger position than we have ever been in terms of a competitive advantage. And I think now for us, what we are seeing is that, the reopenings are also playing very strongly in our favor and we have a very strong on-premise platform. So, now feeling really good about the competitive landscape and the value that we bring in the market.
Richard Tse: Okay. Great. Just one other quick one for me. On the transaction based revenue, beyond Payments, which obviously I think is probably the bulk of it. What would be the next sort of service that you offer there in terms of, the next biggest in size?
Dax Dasilva: Beyond Payments, that will be capital, capital is in its early stages still, Richard. We did give some disclosure on that in the press release itself. So, it is growing. We have extended capital now to more of the customer base in this past quarter. We are seeing good uptake. Still think this is going to be a nice driver of growth for us in the long run, a good profitable driver of growth, a lot of good value add to the customer as well, but that would be the next in line for sure.
Richard Tse: Okay, great.
Dax Dasilva: Maybe just to give a bit of clarity there, the obsession now is to embed this very tightly inside of the product, and inside of the entire product portfolio. So, we can then make it available to as many customers as possible.
Operator: Our next question comes from Andrew Bauch from SMBC Nikko. Your line is open.
Andrew Bauch: Good morning, guys. Thanks for taking my question. I mean, how should we think about the cadence of these penetration gains kind of changed throughout the rest of this year and into 2022, when you really start getting in all these markets and how does kind of capital provide that incentive to convert to the platform.
Dax Dasilva: Great question. Yes, it is tough to give you a precise answer to how payments penetration will be at quarter to quarter or as we go, we gave a bit of color on we have been one quarter in Europe, basically now with our Hospitality 800 customers took it and we have got to now make sure that they get transactional. We got to make sure we continue to attach all new customers in that region. We are now entering Hospitality in Australia as well. So we are going to go through the similar exercise and we also integrated the payments platform, our payments platform with the Vend product as well starting with the U.S. customer base there. So, all those things, I mean, those are big chunky parts of our GTV and how our GTV builds up. Just the initial launches of these things, while we get smarter and better with every time we do it, we going to be lumpy or we going to be have growing pains, especially in new markets. But we did publish something last quarter about a 50% GTV penetration rate and we still feel good about that, given how we have now got payments coverage across a much bigger part of our customer base.
Andrew Bauch: That is helpful. Thank you. There is just a follow-up. Could you provide us an update on what total locations are today versus the 156,000 at the end of September?
Dax Dasilva: No, that is not something we disclose just yet. We will update you next quarter on that one.
Andrew Bauch: Alright. Thanks guys.
Dax Dasilva: Alright.
Operator: Our next question comes from Martin Toner from ATB Capital Markets. Your line is open.
Martin Toner: Hi, guys, thanks for taking the question. The advertising track transparency tracking issues that sorted online advertisers this quarter, did that have any impact on your marketing efficiency and how will you adjust going forward?
Dax Dasilva: No. net zero impact. We are marketing to businesses, we use I mean Google 360. So, we haven't changed anything. As I said before, we know how to do the soup, we know the ingredients and we have seen nothing but standard kind of adoption and growth.
Martin Toner: Thank you.
Operator: Our last question comes from Todd Coupland of CIBC. Your line is open.
Todd Coupland: Good morning, everyone. I just wanted to ask what type of hardware is required for a payments rollout once a customer attaches and how much of a constraint specifically this is the supply chain having on that part of your hardware offer?
Dax Dasilva: That scenario we have been navigating pretty well, Todd. The payment terminals we deliver from our partners are primarily Stripe and Adyen. They have been quite supportive of us and making sure we have what we need to meet customer demand there. So, that part that part's gone okay so far.
Todd Coupland: Okay. And when you talk about the hardware issues for you going into the next couple of quarters, does that impact sort of this comment from Stripe and others like are you expecting that to change?
Dax Dasilva: No. there is lots of lots of industry talked about chip shortages and that sort of thing. I think on the payment terminal side, Todd, we have been able to secure inventory. As some of the peripheral devices and so on that we are just being cautious. Like I think we said earlier in the call, we haven't, we have been managing through it so far, but this is just one of those macro factors right now that I just think we have to be mindful of as our customers are a new customer last, we are going to need an iPad, a scanner, a printer, all these things that are in tight supply for awhile.
Todd Coupland: Okay. Thank you for that. And then my second question related to your growing pains, observation in Europe, what types of things might be an issue as you roll out in Europe and I guess now Australia, where you have just introduced it. What types of things are you talking about in terms of growing things? Thanks.
Dax Dasilva: Yes, so maybe I will take this one. I think for me, the way we look at it the adoption within the new markets have been smoother than the initial adoption in the U.S. So, you know, we started in the U.S. we now have roughly 20% of our GTV in North America from on payments. And we see that continuing to grow. Then we launched in Europe. I mean, Brandon mentioned, we signed 800 customers within the first quarter, which was very much in line or much better actually than what we did in the U.S. and we are launching now in Australia. And I'm certain we will have very good adoption. So I don't think there were any issues there. I think we are just going to see the rollouts. And I mean, generally speaking, the way it works is the customer side, and then what we have to look at is between the moment they sign with us and they become transactional. Our job is to try and shorten that time as much as possible. You need to ship the terminals. We need to ensure that they took them in that they configured them in the right way. So I think nothing out of the norm feeling really good about knowing how to sell it, and knowing how to present the value to the customers. I think it is the typical kind of lag that we have seen everywhere else between the moment you sign, and then they start being transactional. So the 800 we signed this quarter, we will probably be transactional within the coming months. And so there is always this lag. So we are very just again to be clear, we are very happy with the uptake. We are very happy with the sales efforts. We now just need to be patient enough to start seeing the uptake in the revenues.
Todd Coupland: Great. Thanks for that color. I appreciate it.
Operator: This does conclude the Q&A part. You may now continue.
Gus Papageorgiou: Okay. Thank you everyone for joining us today, as usual managements around if anyone has any follow up questions, please reach out to myself. Goodbye, and have a great day.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect.